Theto Maake: Good morning, ladies and gentlemen. My name is Theto Maake. I am the Head of Investor Relations at Anglo American Platinum. Thank you for taking the time to join us today for our annual results, both in person as well as online. I would like to draw your attention to the cautionary statement that is actually on screen. And I would appreciate if you could actually ready it in full at your own time. We have at the end allocated time for Q&A at the end of the presentation. So with that said I will now hand over to our CEO, Craig Miller; followed by Sayurie Naidoo, our acting CFO to take us through the presentation. Thanks, Craig, over to you.
Craig Miller : Thanks, Theto. Good morning and welcome to the presentation of our 2023 annual results. I'd like to acknowledge our Chairman, Norman Mbazima and some of the members of our Board who are here today, as well as our Regional Director for Africa, Australia, Themba Mkhwanazi, John Vice, Steve Phiri, who are with us in the room as well as the Anglo Platinum Management Committee. I'll take you through our operational and market performance for the year. Sayurie will then take you through the financial results, after which we'll spend some time looking ahead and then taking your questions. So before I get into the results for the year, I'd like to start by giving you a sense of the several external factors which influenced our results in the year, many of which remain out of our control. The global market volatility, the exchange rate and interest rate uncertainties and above CPI cost increases and notably a 35% decrease in the PGM dollar basket price all had a significant impact on our results. Despite this tough operating environment, we delivered on a number of our commitments. However, in responding to the challenges we are working to improve our competitiveness and ensure our long-term sustainability of our business. These initiatives include capital and cost optimization which we outlined in December and the proposed restructuring of the business, which we announced earlier this morning. So, let's start with an overview of our performance for 2023. We're pleased to report and we're very grateful that we've had no fatalities at our operations in the last 2 years, our longest fatality-free period. We also achieved a record low injury frequency rate of 1.61 per million man hours worked, which represents a 31% improvement year-on-year. We produced 3.8 million PGM ounces with an EBITDA of ZAR 24 billion and a mining margin of 35%. We ended the year in a net cash position of ZAR 15 billion, including the customer prepayments. These results were against the backdrop of that dollar PGM basket price of $1,657 per PGM ounce, the lowest level since 2019. So to provide more detail on safety, we remain committed to zero harm at our operations and are constantly working on ensuring that our operations are safe, stable and sustainable. Mogalakwena, Mototolo and Unki have recorded more than 11 years fatality-free mining, and Amandelbult has recorded 3 years without the fatality. At this moment, I would like to pause and remember the 13 in pilot platinum employees who tragically lost their lives in the incidence at Impala Platinum’s Rustengurg number 11 shaft in November last year. As a result of that, we concluded a review of our own procedures through an extensive audit and we are compliant with the standards that we have and have been taking on learnings from the incident itself. There is never room for any complacency when it comes to our commitment to zero harm. A holistic approach is required to ensure sustainability is integrated in the way we operate. In line with this, in 2023, we focused on the prioritization of our decarbonization ambitions through our renewable energy projects. Given that the production of electricity is the largest contributor to greenhouse gas emissions and the energy crisis that we face in our country, the focus on decarbonization will enable us to secure stable and greener energy to supply our operations. We've made significant progress to conclude the off take agreement with Envusa Energy to supply 460 megawatts of electricity which is expected to be commercially operational from 2026. This is part of the 3 to 5 gig regional renewable energy ecosystem in South Africa, which is expected to supply the majority of renewable energy to our operations by 2030, enabling us to meet our target to be carbon neutral by 2040. We're pleased with the measures put in place to prevent environmental incidents and have not reported any levels 4 or 5 environmental incidents over the past year. We've continued to focus on employee well-being and community develops through our initiatives, including those in education, health and livelihoods. And as we announced last Friday, I'm pleased that 3 of our 4 mining operations have achieved their initiative for responsible mining assurance certification. Our Mototolo and Amandelbult mines have achieved IRMA 75 and IRMA 50 respectively, while Unki in Zimbabwe has retained its IRMA 75 specification. We anticipate Mogalakwena being recognized in 2025. With the first mine, we have the first mines in South Africa to achieve this, once again demonstrating our commitment to be a responsible miner. The management of tailings storage facilities is essential for the safety of our employees and communities which surround our operations. In August last year, we reported a 96% level of conformance against the global industry standard on tailings management. For what is considered extreme or very high potential consequence cities for our own mines. Gaps identified to be closed out by the end of this year to ensure conformance of our own operations. We continue to leverage the standard to pave the way for safer and more efficient tailings management practices. We are, as a company, fully committed to the safety of the facilities and our actions are informed by the tailings storage facility experts. So moving on to our contribution to society. We continue to play a very significant role within the countries in where we operate. In 2023, we contributed ZAR 85 billion to broader society and stakeholders. We paid ZAR 5 billion in taxes and royalties, ZAR 6 billion was paid to employees in salaries and wages, we spent ZAR 30 billion with local suppliers and procurement as well as spent ZAR 700 million on social investments. We also reinvested ZAR 21 billion into the business and paid dividends to shareholders of about ZAR 12 billion. If you move across to our operational performance, our metaling concentrate production was 3.8 million ounces, a decrease of 5% compared to 2022. Refined production declined marginally to 3.8 million ounces. Sales were up 2%, and we saw a marginal reduction in the production of base metals of 2%, while recording a 17% increase in chrome production. The decrease in metaling concentrate production was mainly because of the planned infrastructure closures at Amandelbult per ground conditions at the Dishaba and the expected lower grade at Mogalakwena. Production was further impacted by the lower output from Kroondal, reflecting the planned ramp down of its operations as well as our disposal of our 50% share interest in the operation. These declines were partially offset by an increase in production by Unki, while production at Mototolo was relatively flat. So looking at our own mines and processing operations specifically, as I said production at Mogalakwena decreased by 5% compared to the prior year. Tonnes mined were up by 1% despite higher-than-anticipated rainfall, a mining contractor and performance, drilling and sequencing cages within the pit. Tonnes milled decreased by 1%, impacted by the breakdown in the first quarter at the Baobab concentrator, and further breakdown of the HPGR at the North concentrator in the last quarter of the year. The 4E built-up head grade decreased as expected by 2% to 2.73 grams per tonne. This was in line with the guided range that we provided of between 2.7 and 2.9 grams per tonne and is expected to remain in that range for the next 2 years. In the first quarter of this year, we do expect the grade to come in lower than that guided range, similar to what took place last year. However, it's anticipated to be in line with the guidance for the full year. So looking into the future at Mogalakwena, we're looking at an open pit optimization, which is important to us to maximize value and to drive further efficiencies. In addition to this, we're prioritizing the drilling and the studies of the underground exploration declines, which will be an important step for securing higher grades, creating waste dumping efficiencies and minimizing haulage costs. We have continued to work on resetting our relationships with our community stakeholders, including the culture heritage work as well as the work on the collaborative resettlement process. The [Saritarita] School relocation is planned for completion in December 2024. This is to ensure that the proximity of the school to the mine is managed in line with environmental regulation requirements. In addition, our culture heritage work has aided in identifying grades in areas earmarked for near-term waste dumping. Our diligence in following global best practice has enabled us to relocate a significant number of grades in the last 2 years. We've opened up the required waste rock dump space for the next few years and further dumping space is anticipated to be released this year. So turning to Amandelbult. Production decreased by 11%, this was as a result of the Tumela Upper Infrastructure and Dishaba open cast operations coming to the end -- sorry, coming to the end of their life, leading to lower mining volumes. Continued pro ground conditions at Dishaba also contributed to lower production. This in turn resulted in lower productivity and higher costs, when compared to 2022. Chrome production exceeded expectations with a 19% increase in tonnes produced on the back of a 35% yield improvement, which is attributable to the optimization of the plant. As you know, the chrome price also increased by 53% and therefore, the Chrome operations contributed around ZAR 2 billion to Amandelbult economic free cash flow. We remain focused on the safety and continue to drive conventional mining excellence at the Dishaba. To ensure that Amandelbult enhances its performance, we will continue to implement modernized mining methods and cycle mining where it's feasible to do so. We've seen early successes and have learnings, which will enable us to roll this out more effectively. The Middelaagt the underground project has been postponed and the Tumela 1 Sub shaft will be that project, which we'll look to take forward as it has a higher value case and which is required in the current environment in order to main current production levels. As I mentioned, Unki’s production increased by 5% and benefiting from the concentrated debottlenecking project, which we completed in 2022. Total PGM production at Mototolo was in line with the prior year. And if we move across to refined production. Lower -- refined production was as a result of the 5% reduction in metal in concentrate production. The impact of Eskom load curtailment was approximately 82,000 PGM ounces. This was partially offset by the release of concentrated stocks, which were built-up in 2022, as a result of the Polokwane smelter rebuild. We initially guided that it would take up to 24 months to release the built-up work in progress. We're able to process a significant proportion of that in 2023, and we'll continue to release the remainder in '24. Concentrated stocks have now returned to normalize levels. However, we saw an increase in mat stocks as we closed the year. The availability of higher mat stocks, which affects to the ACP will allow for a faster release of work in progress throughout 2024. These stock levels are expected to return to more normalized levels by the end of the first half of this year. We continue to show improvements in the utilization of our smelters, driving efficiencies and freeing up capacity, rebuild cycles have been completed on time and within the expected budget. There is also an intentional mass pool reduction strategy at our concentrators to produce higher grade concentrates. This produces the same PGM content at lower concentrate volumes, which reduces the required primary furnace capacity and allows us to place the Waterval Smelter on care and maintenance, thereby reducing operating costs capital and enhancing our overall processing competitiveness. I'll now hand your call to Sayurie, who will take you through the financials.
Sayurie Naidoo : Thank you, Craig, and good morning, everyone. Our 2023 financial performance is reflective of the challenging macroeconomic environment characterized by the weaker PGM prices and the operational headwinds that Craig spoke to earlier. In summary, revenue generated was ZAR 125 billion, reflecting the significantly lower dollar basket price, partially offset by the 2% increase in sales volumes. The cash operating unit cost was ZAR 17,859 per PGM ounce, as a result of lower owned mine production and above inflationary cost increases. This translated into an EBITDA of ZAR 24 billion with a mining margin of 35%. Our balance sheet remains strong with a net cash position of ZAR 15 billion, including the customer prepayment. And in line with our disciplined capital allocation framework, the Board declared a final dividend of ZAR 2.5 billion or ZAR 9.30 per share. Looking at EBITDA, which was 67% down compared to 2022. The main driver of the decrease was lower realized prices. most notably palladium and rhodium, which were down 37% and 58%, respectively. The negative price impact on revenue was around ZAR 40 billion. Lower prices also impacted the purchase of concentrate inventory measurement, which resulted in a ZAR 10 billion increase in cost of sales compared to 2022. In 2023, we the rand weakened 13% against the dollar, which had a ZAR 13 billion positive impact on earnings. EBITDA was negatively impacted by higher cash operating costs, as a result of above CPI and electricity costs as well as increased drilling at Mogalakwena and higher volumes of concentrate processed at smelters. Turning to unit costs. Cash operating unit costs were ZAR 17,859 per PGM ounce. This is 1% lower than what we reported for the first half of the year, despite the 18% increase in Eskom tariffs in the second half. This reflects our increased focus on cost management and was supported by a 5% increase in production in the second half. Looking forward, in response to the current low PGM price environment and to ensure we remain competitive, we have launched various cost optimization initiatives to drive lower costs in 2024. We are targeting approximately ZAR 5 billion in annual cost savings of a 2023 baseline. Our unit cost guidance is between ZAR 16,500 and ZAR 17,500 and per ounce, which at the midpoint is around 5% lower than 2023 and therefore, offsetting the forecast impact of input cost inflation of around 6%. And on an all-in sustaining cost basis, this translates to $1,050 per 3E ounce. Cost savings are expected to be realized through operational cost efficiencies, such as improved consumption of electricity, diesel and other consumables. The implementation of our reviewed organizational structures, the reviews of contractor spend and the optimization of studies, exploration, research and development costs based on the reprioritization of work. Working capital increased by ZAR 1 billion in the year. The release and work-in-progress inventory as well as the drawdown in refined inventory in the year resulted in a decrease in working capital of ZAR 3 billion. Higher purchase of concentrate creditors at year-end resulted in a further ZAR 3 billion reduction, and the impact of lower prices on purchase of concentrate inventory and creditors was a net ZAR 5 billion reduction in working capital. This was all offset by the ZAR 12 billion decrease in the customer prepayment due to lower prices. In 2024, we expect to see a further drawdown in work in progress as the furnace map moves through the processing pipeline. This is, of course, dependent on the impact of any further Eskom load curtailment. Total expenditure for 2023 amounted to ZAR 20.5 billion. Around ZAR 11 billion was spent on stay-in business capital, focused on improving the integrity and reliability of our assets. The delivery of replacement haul trucks at Mogalakwena and the buttressing of the Falco tailings dam to ensure safety and conformance with global industry standards on tailings management. Capitalized waste stripping was ZAR 4.2 billion and life extension capital amounted to ZAR 2.4 billion, largely on the Der Brochen project. Other project capital of ZAR 1 billion was incurred on the development of the Mogalakwena twin exploration declines and breakthrough capital expenditure was ZAR 1.7 billion on the copper debottlenecking and metal recovery projects. Total capital expenditure guidance is set at approximately ZAR 19 billion for 2020. We have reprioritized our stay in business capital, which is expected to be ZAR 5 billion lower. In order to preserve cash, but still retain safe, stable and sustainable operations. As always, we are guided by our balanced and disciplined capital allocation framework. In line with this framework, we maintained our 40% payout of earnings for the second half of the year and declared a dividend of ZAR 2.5 billion. This translates into a total dividend of ZAR 5.7 billion or ZAR 21.30 per share for the year. Dividends declared to our employees as part of the [Tobo] employee share scheme as well as our shareholders via our community trust amounted to ZAR 150 million for the year, demonstrating our commitment to creating value for all our stakeholders. I will now hand you back to Craig to touch on markets and the outlook.
Craig Miller : Thanks very much, Sayurie. So turning to the markets. As you know, conditions have been incredibly tough, with prices at their lowest level since 2019. So let me provide you some insights as to what we've observed in the market. So to start, let's look at what happened in the automotive industry in the year, which accounts for roughly 2/3 of PGM demand. 2023 saw a strong performance in automotive demand, which rose around 7%. The main reasons for this were overall light duty vehicle production grew by 10%, far more than we were expecting at the beginning of 2023. Interestingly, battery electric vehicles, while full gaining momentum did so at a slower pace than in 2022 and compared to what we forecast for 2023. So contributing to this is the reduced subsidies and the effect that consumers are increasingly opting for plug-in hybrids and range extenders, which all require PGM catalysts. So as a result, internal combustion vehicle production increased 8%, its best years, its best performance in many years. So largely as a result of the strong automotive performance, all 3 major PGMs were in a deficit in 2023. However, this did not reflect in prices. And the basket price, as we said, fell by about 35% in dollar terms with Platinum -- sorry, with palladium and rhodium recording significant reductions. We believe that this disconnect reflects market participants pricing and perceived weak medium-term -- weaker medium-term outlook for these 2 metals, though destocking -- as well as destocking and speculative shorting. We do not disagree with the consensus that rhodium, but particularly palladium faced major challenges from vehicle electrification. And while we expect to continue to see deficits again this year, we anticipate that palladium will move into surplus in the medium-term. That said, increasingly, the risks seem to be too away. Last year's strong automotive performance highlights 2 themes, which we've discussed many times before. People's desire for Perceval mobility and the energy transition will be more complicated than many expect. So furthermore, as they look to the rest of the year and beyond, there are many other uncertainties that might see a tighter market such as recycling flows and that speculative activity. Our market demand -- I'm sorry, our market development efforts are fundamental to ensure our products have a sustainable and positive impact on the world. We are leveraging the capabilities through activities and capturing values from adjacent value chains. We envisage many future opportunities are turning into risks and potential -- sorry -- we envisage many future opportunities and are turning risk into potential demand segments for our metals, such as progressing our line batteries and leveraging from the useful characteristics of PGMs and new applications. Our diverse PGM basket mix is readily positioned to play a vital role in the energy transition, and further forming a foundation for a cleaner and greener future. But going forward, following our investor update in December, let me provide you with more details on the deliberate and decisive action plan we've taken in response to the prevailing market conditions, which is necessary and urgent to ensure the long-term sustainability and the competitive position of our business. This comprises of 5 elements; the first is operational excellence. The focus on value over volume production whilst improving our operational performance and maintaining our own mine production. Second, our focus is on cost efficiency targets, improving our cost position to ensure that all our assets are positioned in the first half of the cost curve. Initiatives are underway, as Sayurie pointed out, targeting the ZAR 5 billion per annum cost saving. Three, rationalizing our capital. Capital discipline is always crucial. We will be reducing our 2024 sustaining capital spent by between 15% and 20%. However, we do envisage maintaining spend levels for '25 and '26 and we'll focus on what is critical to the business to ensure the integrity and the reliability of our assets for the long-term. The fourth element is rephasing our growth. In addition, we reviewed our capital portfolio, the outcome of which is to prioritize and progress Mogalakwena's underground studies. We've decided to postpone the development of the 3rd concentrator under the current environment. We'll also maintain production at Amandelbult at current levels and therefore, won't continue the program to ramp up production nor debottleneck the concentrators to 7 million tonnes per annum. And lastly, reconfiguring our processing, as a result of streamlining our processing footprint, the ACP debottlenecking project is no longer required at this stage. Further, as we've mentioned, the Waterval Smelter will be placed on care and maintenance from the middle of this year and to be repurposed -- as to be repurposed for slag cleaning duty. Since our December update, we've continued to assess the business given the persistent cost pressures and the continued decline in the PGM basket price. And as a consequence, and as a last resort of exploring all options, we're embarking on a proposed restructuring of our business. The proposed restructure is expected to impact approximately 3,700 employees, including fixed-term employees across our South African operations. This represents approximately 17% of our permanent employees. The majority of the employees impacted will be at Amandelbult, followed by our processing operations as a result of Waterval being placed on care and maintenance. Section 189A process of the Labor Relations Act will be followed, which involves a consultation period with trade unions and affected employees and will be facilitated by the CCMA. In addition to the review of our organization structures, we've also embarked on a contract to review, affecting 620 contractor companies. We believe that the actions that we are taking, though painful and not ideal are however necessary and will position ourselves well into the future. So in conclusion, to create the long-term sustainability for all of our stakeholders, we are taking this deliberate and decisive action. We remain committed to our 4 strategic priorities. We've prioritized our work into 5 programs. Clearly, safety, zero harm is a non-negotiable for us. We've demonstrated the resilience in 2023. However, our operational excellence and organizational effectiveness are our short- to medium-term action plan to ensure that we are sustainable, positioning ourselves for a sustainable future, the market development initiatives that we are developing are critical in order to ensure that we develop -- divert the mine segment for our PGMs. Our pathway to value, we're preserving our long-term optionality with the aim to create shared value for all of our stakeholders. These programs enable us to remain focused on delivering in line with our action plan were remaining agile and responsive to enable the success and the sustainability of our business. We believe that the actions that we’re taking distinguish us in the following areas; Firstly, we have a portfolio of Tier 1 assets that are strategically positioned to operate them in the first half of the cost curve. Secondly, we strategically aligned our metal portfolio to capitalize on the ongoing energy transition as the world shifts towards renewable energy resources, the demand for PGMs are crucial for these technologies, and we're well positioned to meet that demand. Thirdly, we'll prioritize long-term growth through disciplined capital allocation. This means that we invest appropriately in projects that offer sustainable returns ensuring steady growth as and when the mine requires. And lastly, we're committed to being a responsible mining -- a responsible miner, creating value for all stakeholders including shareholders, employees, local communities and the environment. And with that, that concludes our presentation. Thank you once again for listening, and I'll hand you back to Theto, who will facilitate questions-and-answers.
A - Theto Maake : Thank you, Craig and Sayurie for that. We will now move over to the Q&A. [Operator Instructions]
Nkateko Mathonsi: Nkateko Mathonsi, Investec Bank. Look, I have a few questions, and the first is on the ZAR 5 billion cost saving guidance. If you can give us a little bit more details because looking at --after considering the 3,700 employees restructured in Section 189. It would appear that efficiencies and productivity will still be a major contributor to the ZAR 5 billion. So outside of the diesel savings, what will be the specific factors that you'll be looking at to actually achieve this ZAR 5 billion cost saving in FY '24? So Craig, if you can also comment on market development. I mean it has increased by about 84% year-on-year. Should we be looking at that ZAR 1.8 billion as the base going forward? Or in terms of your cost savings, you also are looking at market development? And then I also -- I mean my third question is on CapEx. Is there any further room for CapEx reductions? If the PGM pricing environment remains very challenging for the remainder of the year and also considering that the operating free cash flow in FY '23 was actually negative. And then the last one is on Mototolo, where the unit cost was the highest compared to the other operations. The unit cost increase was the highest. Why was Mototolo the one that was most exposed to the inflationary pressures?
Craig Miller : Sayurie, do you want to go with the ZAR 5 billion and just outlay sort of some of the key programs?
Sayurie Naidoo : So starting with the ZAR 5 billion. So the organizational review, both at our corporate office as well as our operations will contribute about 40% of that cost reduction, and that will include other efficiencies that we're also looking at in terms of overtime savings, incentives, et cetera. Further to that, the contractor review that we mentioned that will add another ZAR 500 million to ZAR 700 million. In terms of operational cost efficiencies, as we mentioned, we are putting the Waterval Smelter in care and maintenance. So that after taking care and maintenance costs into account, that will also add another ZAR 500 million in terms of annualized savings. Looking at obviously, consumption of diesel utilities, efficiencies. So that will also add another ZAR 1 billion to our cost target. In addition, we are looking at our supply chain -- all supply chain contracts and looking to negotiate below CPI escalation increases. And further to that, our overhead reduction. So looking at our exploration of studies cost, market development cost as well, so that will add another ZAR 500 million or so.
Craig Miller : I think it's fair to say that we certainly are driving greater efficiencies and performance from the assets. We've had a series of challenges in 2023. Our expectation is that we'll be able to overcome those particularly around some of the equipment at Mogalakwena, where we really do need to improve their effectiveness and really drive that benchmark performance. We've also got a lot of equipment that has recently been delivered at Mogalakwena. So our expectation is that should be operating at where the OEM says it should be. And when we do the comparison against other equipment within the Anglo American Group, and we've got some way to go. So efficiency is across the board, and certainly a key driver for us. In terms of question around market development, as we said, market development is really important for us in order to create that diverse market segment. But as you can imagine and as Sayurie alluded to that the market development budget for 2021 is under review and has been scaled back, which we were going to concentrate primarily in the mobility segment and continuing to contribute to the jewelry demand element and other key initiatives in order to create that diversification, but you should see a reduction in our market development spend this year, just given sort of where we are. And I may just add that we are encouraged that other PGM players are starting to now contribute their share to other market development activities so that we're not just carrying the lion's share of this. So kudos to them. And then in terms of your CapEx, look, I think we've certainly looked at the optimization of capital. As you've seen, we've seen the reduction in our SIB, where do we see capital being spent in 2024. A lot of that does go into the Lifex at Mototolo Der Brochen. And that's important in order to really complete the Der Brochen project. But I think as a result of placing Waterval on care and maintenance, what you are seeing is that we're saving about ZAR 3.5 billion worth of capital over the next few years as we look to shut that down, but we always continue to evaluate how do we optimize our capital. So Waterval, for example, we don't have to install the SO2 abatement. We don’t have to complete the furnace rebuild this year. So a lot of that has been driven around the reduction in capital and we'll continue to review it. The other element of capital that we do have this year, and I'll get way just to speak to that as well, is really looking at how we optimize Mogalakwena and pit. And is there an opportunity for us to be able to reduce waste really reduces the amount of equipment, and that's a bit of a program that we have underway. And then -- and Mototolo, Sayurie do you want to just cover some of the costs and then why that's -- I mean, the mechanization -- the mechanized operation of Mototolo is a critical component of the portfolio, particularly as you manage through some of the uncertainties where we are at the moment?
Sayurie Naidoo : So you take on the Mototolo cost. So costs were up in most areas. So in our contractor spend in our stores but largely in terms of Lebowa shaft, coming to the end of its life and difficult ground conditions, that's also contributing to the higher cost that we are seeing at Mototolo.
Craig Miller : So there's no doubt that the cost efficiency program that we have underway and that we've announced is across every single asset and every single asset has particular targets, which they need to deliver on and making sure that they're in the lower half of the cost curve.
Christopher Nicholson : It's Chris Nicholson from RMB Morgan Stanley. I've got a couple of questions that center around Amandelbult, if I could. So over the last few years, we've obviously had the Tumela Upper section reserves kind of being depleted. The surface sources are depleted. This year, we've done 630,000 PGM ounces. Is that the run rate going forward now? Does it fall from here further? And if so, how long can you maintain it? I do note your comments that a good portion of the overhead or the job restructuring relates to Amandelbult. Is this just viewed as a rightsizing for kind of net run rate? And if you could comment on that. Then related to that Mortimer, obviously, I think Amandelbult volume and maybe the [indecipherable] volume forms the base of Mortimer. What happens logistically there? Do you put it on trucks, you take it down to Watford or to Polokwane? And then I think lastly, most importantly, clearly times are tough. And within the portfolio, you've obviously got, I guess, higher priority items such as Mogalakwena motto to allocate capital to -- is Amandelbult still a right fit for your portfolio? And can it attract the capital it deserves and the investment in labor and the ore body that it deserves in this environment in the Amandelbult's portfolio?
Craig Miller : In terms of Amandelbult, clearly, we've seen a particularly challenging year Amandelbult last year, the decline in production. And that's been accentuated particularly at Dishaba. And it has difficult ground conditions. But to be honest, we haven't seen the productivity levels that we would have expected. Tumela on the other hand, has certainly had a really credible performance, and it continues to deliver in line with budget and its productivity levels and really sort of commensurate with what we have expected. So the focus is really around the Dishaba back and the turnaround there. And so as a result of the proposed restructuring, there is definitely a drive around improving efficiencies. In terms of the expectation for this year, sort of just given the changes that we're sort of announcing we've maintained Amandebult’s production level at about the 650,000 ounces. We'll continue to progress the mechanization of the 15 is drop down, and we're looking at the Tumela 1 Sub shaft. But that's more or less where we see Amandebult in the current environment. So just to answer you, maybe your last question around does it remain within the portfolio. We've certainly got to turn Amandebult around. We've got to improve its efficiency -- it has to improve in terms of delivery of its production profile. We believe that we can do that. We've certainly demonstrated from a safety perspective that we're able to do that. We believe that the plans that we've got to turn that around and the focus around productivity, the focus around discipline and what needs to take place at Amandelbult. We support what we're able to do with that particular operation. And therefore to deploy the capital on a much more phased basis than not grow the production to 7 million tonnes. But yes, we've got our work cut out for us to improve that, and that's a particular focus of the team for the year. I think just your last point around Mortimer. So as we look to case that on care and maintenance, yes, we will then transport the concentrate to both Watford and then also to Polokwane. But obviously, as a result of the mass pool reduction, that will obviously sort of reduce the amount of concentrate that gets moved around. Is there anything else to add there yet?
Unidentified Analyst: [Gerard from Absa]. I wonder if you have any idea or do you have, but if you're prepared to share with us any idea just roughly of the cash cost that you envisage this whole restructuring, the cash outflow that you'd expect from this restructuring and presumably all of that will flow this year.
Craig Miller : As you know, you're going into a Section 189 process, that's a consultation. I don't want to speculate around what that cost is. We've clearly got to go through the consultation and make sure that we followed your process. But the important part, despite what the cost is, is really how we're setting the business up for the future, and that's really critical. And so as difficult as it is, to go through the restructuring and say goodbye to colleagues, et cetera, we need to do this in order to restore that competitiveness and make sure that the business is set up to be sustainable.
Unidentified Analyst: Yes, well done on your fatality rates, excellent for 2 years now. My concern about Amandelbult same as Chris, your costs were like about ZAR 20,650 per ounce, spot is now at about just under ZAR 23,000. It's a very, very thin margin. Following on what you said about what you can do internally? Would you look at selling Amandelbult? Or at what point would you take that decision?
Craig Miller : So the focus now has to be on turning around Amandebult and getting its cost structure right. But importantly, also just driving the productivity and the efficiencies and that's our key driver. And that's the key sort of piece of work that we have underway. With any asset that we have in the portfolio, we would always have to have a look at it in terms of if we received an offer or somebody else could generate additional value. The importance about Amandelbult is really then just looking forward and the prill split that it has and the exposure to not only platinum but also iridium and ruthenium, which are key components in terms of if you think about a hydrogen economy. So yes, at the moment, our focus is we've been able to demonstrate that we're able to operate Amandelbult safely. We've invested a lot of time and effort in that. And we've now got to work on the productivity and ensuring that we actually move the cost down the cost curve.
Theto Maake: Two more questions from the room then we will move to conference call.
Leroy Mnguni : It’s Leroy Mnguni from HSBC. Your trading sales volumes increased about 134% year-on-year. Could you please give us a bit of color on driving that? And I don't know if you'd be able to share where the increase or the additional metal is coming from? And then I'm just curious as to once you put more to Waterval Smelter in care and maintenance, does that sort of affect your vulnerability to load curtailment from Eskom in any way? And what are some of the considerations there?
Craig Miller : So we take Hilton on the line if you want to give us some details. Hilton do you want to give us just the feedback on the trading?
Hilton Ingram : Look, I think the drivers for the trading volumes we work within certain constraints in terms of both working capital and with the amount of value that we can put at risk as prices and volatilities in PGMs have come down. So that have created opportunities for us to do more from a volume perspective. Then the reasons why we trade are first and foremost, to make sure that we understand the value of the products we're trying to sell to give us the ability to provide solutions to our customers without having to use intermediaries to enable us to take advantage of imperfections in the market and also to manage our own supply risks. Our capacity in terms of working capital and value at risk as they stayed the same. So it's largely as a result of the reduction in prices and the reduction in volatility. Hopefully, that answers your question.
Leroy Mnguni : Not really. It's an extraordinary amount of metal because -- so if you were to say would a market some of the toll refined metal, would that come through in that line? If we were to market some of the toll refined metals. So instead of some of your customers taking their toll refined metal for themselves and new marketing it for them, would that come through in trading sales volume?
Sayurie Naidoo : No, Leroy. So I think what's covered in those trading volumes is third-party purchases, borrows, leases and lend. So we're basically buying and selling material, and it really is, as Hilton said, in order to give our customers what they want in terms of material. We do forward sales as well. And then we would obviously in order to hit some of the price risk that's where the buying and selling is coming from.
Hilton Ingram : We are the sort of LBMA publishes traded volumes. And while those traded volumes are high relative to our sales volumes, traded volumes as a percent of traded volumes as a percentage of what the LBMA publishers is less than about 0.5% of volumes traded on the London platinum palladium market.
Craig Miller : And then, Leroy, just to your question around load curtailment. And so certainly, we have been able to manage the load curtailment across the business. We've done that successfully through the management of through the smelters. As we put Mortimer and care maintenance yesterday as a consideration. But we do have -- we have implemented some alternative backup at some of the operations, which will enable us to try to mitigate some of that. So we've looked through the generating capacity, et cetera, at the operations and that will enable us to be able to reduce the impact particularly from a local time at 1 stage.
Arnold Van Graan: It's Arnold Van Graan from Nedbank. Cragi, you've obviously launched a number of initiatives to adjust this business to a low price environment. The question is, what other big levers do you have to pull if needed, if PGM prices go down further, don't go or some of these initiatives that you plan don't deliver the required results. I guess taking the question further other than Amandelbult, which seems to be the obvious potential solution here.
Craig Miller : I mean I think we as a business have responded to the lower price environment and we'll continue to make the appropriate responses as and when required in order to ensure the long-term sustainability. I think the actions that we've taken really do help set us up to be a sustainable into the future, and really to navigate some of the changes that you will see in prices. As we know, prices will come down and they'll come back up. And we just need to make sure that the work that we're doing delivers that we deliver it safely and that we deliver on the commitments I mean I think that does set ourselves up in terms of what we need to do. But we continue to evaluate how we drive further efficiencies across the business. We've launched the program, and we particularly focused on delivering that, and we'll respond as and when we need to. But I do think that we have, and we'll continue to do that and keeping for us nice, the delivery of it.
Theto Maake: Thanks for that. Can I propose that we move to the conference call, do I see for questions coming through from the conference call?
Operator: The first question we have comes from Catherine Cunningham of JPMorgan.
Catherine Cunningham: I'm sorry if some of these have been answered already. There was a bit of a cut in the audio just now. So I have 3 quick ones. The first one, as were the labor cuts that were announced today already internally factored into the guidance for the medium-term that you announced in December i.e., as the downside risk to the production outlook versus previous production just in light of today's announced cuts? And then the second 1 is, just in light of it being an election year, do you see any risk of pushback from the CCMA and enacting the announced workforce reduction? And then just thirdly, on the theme of elections as well, do you see any risk that electricity curtailment level that the sector is intensified this year, say, under a scenario of Stage 6 in order to reduce the impact on the individual versus base?
Craig Miller : Look, I mean, obviously, the restructuring that we've announced today, we've embarked upon a series of initiatives and they started last year in order to drive the cost out, and that really helped in formed the production plans that we put together for the medium-term. We've clearly then needed to act further and work and embark upon this restructuring and that we've been working on. In terms of the medium-term, I would hope that the implementation of this restructuring sort of supports that production guidance that we've provided it really is focused around efficiency and productivity, and therefore, should be able to deliver on the answers and the commitments. And is there a possibility of some disruption. I think that exists all the time, and therefore, we need to continue to mitigate that and manage through it. With respect to your question around electricity and Stage 6. That's been very much -- we've been able to manage load curtailment quite successfully as a business. Stage 6 doesn't always necessarily translate into load curtailment for us as a business. So we'll continue to manage that and continue to adapt to it but just linking back to -- we need to look further out in terms of getting over sort of some of the curtailment that we've experienced. Clearly, it's sort of stabilized in the last half of last year, it's picked up a little bit this years. But importantly for us is really the opportunity which Envusa creates in terms of the stability of bringing additional energy to the grid and being able to take that off take as a company. So, we'll manage the electricity as we have done, does -- we have had the impact of about 80-odd thousand ounces last year, a little bit much lower than what we had anticipated at the beginning of last year. So I think it's relatively well managed. We've seen the stability, and we'll continue to manage it again but really looking through from an Envusa perspective. And then as you pointed out, in terms of elections and the opportunity that elections brings for many citizens in South Africa. Yes, we look forward to those elections and the outcome of that and we'll continue to work with whatever the elected government is to be able to support our operations and continue the investments in the country.
Catherine Cunningham: And then sorry, there was just a question on whether there is any risk that the CCMA pushes back on the workforce reduction?
Craig Miller : I think the CCMA in the Section 189 process is well documented and formulated in South Africa as a result of the announcements that we've made today, and we will be issuing notices to those effective employees and to their representatives of organized labor and then that process will start in line with the consultation process. I don't believe that the process itself could be impacted necessarily by elections. sort of also don't know where elections will be and hence, the reason why we're starting the process now.
Operator: The next question we have comes from Richard Hatch of Berenberg.
Richard Hatch : Just got a few questions. Just the first one, just on the mass pool production strategy. Can you just explain a bit about why you haven't sort of considered doing this before? And given the sort of -- you're talking the benefits of it, obviously, perhaps it would have been better to have done this previously. So can we just talk a bit about why you haven't sort of considered doing it before? The second 1 is whenever you whenever you cut so aggressively, there generally is a point in which it comes back to bite you. So not just Anglo platform but just generally in the mining sector. So are you really confident that this is -- that by cutting SIB, you're not sort of curtailing longer-term flexibility? And then just on the map release, is there any way you might be able to quantify just how much you might see coming back as a working capital release from that a release in H1?
Craig Miller : I'll have Agit and just give you an overview of the mass pool strategy and why we're doing it now? And then I'll maybe cover the SIB and we'll just talk about the release of the working capital.
Agit Singh: I’m Agit Singh, I’m Executive Head of Processing Technical at Anglo American Platinum. The question is actually a good one. Our mass pool strategy work has actually started over the last couple of years. And what we have been doing is looking at a 30% to 35% reduction in mass pool at Mogalakwena, and that's a flat brief ore body. So conventional technology doesn't necessarily give us the results that we actually wanted. So we have been doing quite a lot of work around understanding the technology of trust. We've done that. We piloted the work, and it was extremely successful. So the results indicate that we can achieve the mass pool reduction that we want at the required recovery levels and give us the higher grades and lower volumes. At manual, we're targeting 5% to 40% reduction in mass pool again we've done the work, fully understand what it is and it's going into implementation as we actually speak at both those operations. And very similar to Mototolo, Unki, we're doing very similar approaches around mass pool that's focusing more on optimization of the existing circuits. We've already achieved quite a significant drop in mass pool across our operations and the technology changes we're doing at Mogalakwena and Amandelbult will to get us to where we want to. So it's just a matter of time, and we've been making sure to exactly the point that you've made that we want to do the right changes at the right time. And we've done that in a very meticulous way where by piloting it and making sure that we are actually going to get the results that we actually want.
Richard Hatch : And could you the releases by the half year?
Sayurie Naidoo : Yes. So in terms of our book stock. So we had about 100,000 PGM ounces that were built up at the end did see some of that being processed in 2023. And then we expect that to be back to normalized levels, again, based on Eskom load curtailment. Just to bear in mind that the first half of the year with the first quarter would be impacted because of our processing assets, maintenance and stock comps and therefore, we would expect it to be towards maybe the Q2 and Q3 that stock would be released.
Craig Miller : And then, Richard, just your question around SIB and being aggressive. I think what we are very, very than we have been for the last few years is really improving the asset integrity and the reliability of our infrastructure. And we've certainly invested very significantly over the last number of years in that. And therefore, that gives us confidence in terms of the reductions that we've been able to implement in that SIB space is not necessarily compromising the integrity of our assets. And we're continuing to invest where it makes a lot of sense. But I think the optimization that we've spoken about, for example, at Mortimer, just demonstrates where that optimization is without necessarily compromising the investment that we need to make in order to maintain the assets in a stable and capable environment.
Operator: The next question we have comes from Adrian Hammond of SBG.
Adrian Hammond : I have three and I'm going to simplify things simple here for you. I appreciate your CapEx profile, and it's certainly impressive that you can -- 1 of you who can actually sustain it I also appreciate you've optimized the CapEx profile. So will you be -- if spot prices persist, are you going to continue paying dividends out of debt if you have to, because certainly, your part of your premium rating is your superior dividend policy linked to earnings? And then secondly, the OM destocking cycle you mentioned, when do you think that could come to an end? And then thirdly, what opportunities does Amandelbult have to increase chrome production.
Craig Miller : I'll go with the dividend. I'll try it. So Adrian, look, certainly, I think just back to what we have and you've pointed it out is an incredibly disciplined capital allocation. And we really tried to balance between investing in the business and maintaining the dividend. I think the actions that we're taking today in terms of the cost, our reduction in capital, driving the efficiencies and maintaining production really help support cash generation, which would then enable us to maintain that disciplined approach. And the 40% payout of earnings is linked to earnings. So prices -- if prices rise, dividends will rise. And with the prices at the low levels, you've seen the impact of the dividend in the second half of the year. But it's certainly our intention to maintain that capital discipline going forward. But ultimately, the declaration of the dividend at the half year is always the decision of the board, and they take into account various considerations as we look to declare that. But certainly for us, as a management team, making sure that we generate the cash, they'll make the investment and declare the dividend is fundamentally key for us. I'll ask Hilton if you can comment on the OEM has the destocking now been finished. I'm not entirely sure about that, but grateful for your comments.
Hilton Ingram : So Adrian, look, with interest rates being where they are, we continue to expect inventories will continue to be front of mind for everybody. And as the supply risks around PGMs drop off. So 2 people will look for further opportunities. But we think that the buildup of inventory first up in response to the supply risks as a result of the Ukraine war that stuff has worked its way through the system, but it will continue given the price of PGMs even at these price levels to be an area where people will look to gather efficiency.
Craig Miller : And so look, I mean, Currently, Chrome is supplied out of Amandelbult, we have Chrome from Modica. And as we -- as the deferred consideration and the transfer takes place from Mototolo from Glencore to ourselves, we would certainly then have additional access to Chrome going forward.
Adrian Hammond : Material for you?
Craig Miller : Yes, it's a significant component of Mototolo's profile.
Operator: The next question we have comes from Dominic O'Kane from JPMorgan.
Dominic O'Kane : I have 2 questions. So on the concentrate strategy and the high-grading. Is there any implications or impacts upstream on your mining strategy and specifically, is there any impact we should think about in terms of future reserve reporting? And is there any implications of and expectations for your thoughts for sort of a lower for longer PGM pricing environment? My second question is, could you maybe just give us an update on Mogalakwena bulk ore sorting studies? So obviously, across the Anglo American Group, there have been cost saving announcements is the bulk ore sorting studies at Mogalakwena progressing at the same funding and the same rate as you were expecting previously?
Craig Miller : Look the -- as a consequence of the implementation of the mass pool reduction strategy, there is no impact on the upstream mining. It's really focused around the concentrators and how we upgrade the concentrate that ultimately goes into the smelters. And so there is no impact on the reserves or the resources of the mines as a result of the implementation of the mass pool reduction strategy that we've outlined. And in terms of the bulk ore sorting to bulk sorting was installed at Mogalakwena. And we've paused that program at the moment. and that's largely driven as a result of the lower ore grade, which has been fed into the concentrator. The bulk board sorter, as I understand it, is benefits from a higher base metal grade material, and so it's able to identify that. And therefore, why I believe it's applicable and successful at some of the Anglo American base metal operations. But while you have a lower grade material being fed into the concentrator at Mogalakwena and the bulk resource doesn't necessarily deliver an immediate benefit for us. As we see that grade increasing and particularly as we think through the underground opportunity from Mogalakwena, which does demonstrate the higher grade, then there's certainly a potential application from the bulk or sort to be beneficial at Mogalakwena and deliver the anticipated benefits that you would see, for example, at Anglo American's copper operations anything else?
Operator: The last question we have comes from Myles Allsop from UBS.
Myles Allsop : Just on the Mortimer closure, could you just help us understand the market impact here in terms of the total amount of refined output, so you got your 3.8 million tonnes plus the ZAR 620 million of tolling. So 4.4 million ounces, how will that look in 2 years' time with the Mortimer operation closed. So the third party and tolling will have to find a new home. That was the first question.
Craig Miller : The shutdown of -- sorry, the care and maintenance of Mortimer have been recommended about this already today. It's a bigger pardon the care and maintenance of Mortimer or placements of care and maintenance of Mortimer doesn't have an impact on our refined production. And that being a couple of things. We do have additional capacity at both and Watford and Polokwane for us to be able to treat the material. We've obviously got the mass pool reduction, which allows us to increase the throughput through these 2 particular smelters. Polokwane one of the largest smelters that we have in the portfolio. Thirdly, we do have a number of third-party contracts, which come to their natural end in terms of contractual provision. And we've always said this, and I'll reiterate it again today, is we will drive value over volume. And if we process third-party material, it would have to be at the required returns, which reflect the investments and the cost that we incur in terms of processing material and that's key. But in terms of our guidance that we outlined back in December for the next 3 years, that certainly had the expectation and anticipation of motive being placed on care and maintenance. So no change to the guidance.
Myles Allsop : Do you expect a significant reduction in third-party volumes because they're not going to stump up for a higher processing cost? Is that the way we should think about it?
Craig Miller : I can't comment for the other parties in terms of what they'll do. And I think they'll set in the -- I think the -- there needs to be a reflection that actually you drive -- that we need to be compensated appropriately for the investment that we make in downstream processing. A lot of the contracts that we have are legacy contracts that were set up a long time ago when energy prices, for example, were significantly lower or they were part of an ownership structure that we had at the time. As they come to an end, we'll need to just negotiate those. And then it will be for the third party to decide whether they wish to have their product process by ourselves or not.
Myles Allsop : And maybe just secondly, on [Mogalakwena] and grades averaging around 2.8 grams sort of for the next couple of years. And what should give us confidence that grades will improve sort of medium-term, obviously, there's been promises and disappointments over years, I mean, but how confident should we be that the grades will improve and production will step up on a sort of 2- to 3-year view?
Craig Miller : Yes. So I'll answer some of that, and then I'll ask for Wade, who's our Head of Mining and Technical to give his view as well. But Myles is certainly anticipating for the next few years, that grade because of where we are in the pit, and we'll continue to see the grade that we've seen, but the team are always sort of looking at opportunities and how do we upgrade the output so that we could get Mogalakwena back to where it needs to be. Wade I’ll ask you for your point and how we do that?
Wade Bickley : Wade Bickley, Executive Head for Mining Technical. I think just to remind you, Mogalakwena has a resource of greater than ZAR 1.6 billion an average grade of 2.32%. We're investing significantly into exploration drilling across the complex. So our knowledge has increased dramatically in recent periods. We also have been selectively drilling the down dip extensions that support as discussed underground opportunities. So I mean, we're certainly on a pathway to a value-over-volume approach to Mogalakwena, and we're seeing an uplift in in grades in the ore body. So it's a very exciting opportunity for us. The open pit mines, I mean, we've very much been a taker of grade in the year. But as the mine is opening up, we're increasing optionality of our design and our tick sequences. So I guess we are increasingly into a position where we have a greater level of confidence in our grade and increasing opportunity.
Theto Maake: Just looking Wilson Marcelo came through a whole lot of questions, but I will summarize the minute 3. It's around Mogalakwena. One, it says can you provide more color on the evolution of the stripping ratio as well as the next 3-year guidance as it seems erratic for mine of that size. I think that's question one. Two, what is our turnaround strategy to get Mogalakwena back to Q1 of the cost cap? And three on the drilling he calls ZAR 10 billion to say is that aimed at geological ore body knowledge or is it improving mining flexibility combination? So 3 questions in 1 around Mogalakwena.
Craig Miller : I might just ask for further clarity around the last point, but I'll try and answer the first 2. And look, we've certainly seen the Mogalakwena strip ratio increased in 2022 and again in 2023. And that's really on the basis in terms of where we're currently operating and the work that's needed to be done in order to create the next face length and pits. We do have work underway, and I made reference to it in the speech around the open pit optimization. So in December, I explained that we were increasing rate movement from roughly ZAR 80 million tons today, potentially would be increasing to about ZAR 150 million tonnes, and therefore, continuing to increase the strip ratio and frankly, increase size waste. In the current environment, that's not necessarily sustainable and Wade and his team together with the group team are looking at how do we optimize the Mogalakwena pit, facts that we're able to sort of reduce the amount of waste, reduce the cost and reduce the capital. And that works underway at the moment. And once we've concluded that work and it makes sense, then we'll be able to share that more broadly. But at the moment, the anticipation is that strip ratio will increase as we continue to move the additional waste. And linked to that, I mean, what we have certainly seen is Mogalakwena's cost position moving on the cost curve as a result of that increase in stripping as a result of the reduction in grade that we've seen and the reduction ultimately in PGM ounces. So it's two-fold. We're going to see probably that we see production being retained at around about 1 million ounces per annum for the next few years in line with the grade that we've just provided. But importantly, in terms of how we bring it down, it's really back to the cost programs that we've spoken about today, the pit optimization that I've referred to and our ability to be able to drive better efficiencies from the equipment that we've invested at Mogalakwena. So a huge amount of focus in making sure that all assets operate in the first half of the cost curve.
Theto Maake: I think his last question, I'll quickly read work forward. So the drilling at Mogalakwena and seemingly elevated CapEx over ZAR 10 billion per year is it aimed at geological ore body knowledge or is it aimed at improving mining flexibility?
Craig Miller : It's very flat. Let me just unpack some of it. So as we said, we are progressing the exploration decline work that we have underway at Mogalakwena, and that helps improve our knowledge of the potential for the underground, so not both from a drilling and geological model perspective, but also then in terms of how that potentially would be set up as a mining operation in the future. But if we come back to the pit, absolutely in terms of the investments that we've made and some of that capital is driven by the waste that I've referred to. And as a result of increasing the amount of material move that Mogalakwena, we've had to make investments in both HTM equipment, which has sort of been a real key driver around the increase in capital. So it's both capitalized waste and then the equipment that needed to move that.
Theto Maake: The next question then comes from Cameron Bank of America. He has 2 questions, 1 on contracts and then the next 1 is on restructuring. So the first question says, please could you give some color on the nature of conversations you're having with your customers at the present. Is there any push for customers to change the nature of contracts? Any conversations with customers to, is there any push for contracts to be changed? Then the second question is on the restructuring and proposed cuts. How are you thinking about the impact on your operations and more specifically or development?
Craig Miller : Hilton. Did you hear the first question?
Hilton Ingram : So the conversations with our customers are pretty normal. So, we're seeing them taking the same sort of volumes that we expected them to take even despite the pressures we talked about inventories, right? What we're seeing is more a willingness for them to lend out their inventories rather than to cut back on significant -- significantly on purchases. And that's probably on the back of some surprises to the upside last year in terms of take-off. So a pretty unremarkable contracting season towards the end of last year.
Craig Miller : And then in terms of the impact of the proposed restructuring on or development as I said, the sort of certainly, the restructuring that we've announced today really drives a lot of the efficiencies that we need to get back to as an organization. And we've certainly done a huge amount of benchmarking to be able to help inform where we need to go. But my expectation is that that the restructuring is not necessarily going to have any impact on our development. If anything at month built, and there is an opportunity for us to be able to improve IMS – IMA and get that development right as a consequence of the sort of the really back to basics work that we need to do. I don't believe that there is any impact on or development as a result of the restructuring. And so very much sort of -- we'll continue to make sure that we've got that development in place to support future production.
Theto Maake : I think another question comes from Wilson Marcelo again. So on Twickenham, what is the status of the Twickenham project? Does this mining projects slow fits Anglo pit’s portfolio?
Craig Miller : And Twickenham is on care and maintenance. And we -- at the moment, it stays on care and maintenance, while we undertake additional studies in terms of what that potential opportunity will be still part of the portfolio. And we're doing the studies with another partner, in terms of trying to identify synergies, et cetera, but certainly, where we are at the moment, we'll continue to progress those studies in 2024.
Theto Maake : Last question from the webcast from [ Solana Brandon Puna] IV League Inc. in surrounding of your development across the country, what initiatives do you have in place for the rest of the skills programs and social impacts while sustaining business growth and expansion?
Craig Miller : I mean, I think as I outlined in our commitment to society, we've certainly continued to make investments in our social labor plans as well as our community social initiatives, which are focused around education and well-being and health. Specifically, as we're looking at implementing the restructuring. We have a number of social impact programs, which we will look to roll out to try to mitigate the impact of that and that is focused around reskilling and retraining of impacted employees and but also supporting the community as they adjust to sort of some of the economic outcomes as a result of this. So it's very much focused around the impact on communities and our employees and helping them sort of work through the changes. We spent -- I think we've committed about ZAR 1.1 billion to both social labor plan and social impact social impact mitigation plans as a consequence of the restructuring that we announced today, and we'll look to deploy that to offset the impact.
Theto Maake : I think that was it for questions from the webcast. We have 4 minutes left, just taking whether there is any 1 last question from the room or else we can conclude the session. Just taking whether any other question from the room, the last 4 minutes. Craig no other questions on our side.
Craig Miller : Thanks very much for everybody for joining us today. If there are any further questions, please reach out to Tato or Marcella as part of the IR team, and they'll be happy to answer the questions that you have. Thanks very much for joining us.